Operator: Good morning, ladies and gentlemen, and welcome to the Capstone Mining Corp Second Quarter Results 2020 Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator instructions] This call is being recorded on Thursday, July 30, 2020. I would now like to turn the conference over to Jerrold Annett, Vice President Strategy and Capital Markets. Please go ahead.
Jerrold Annett: Thank you and good morning. I'd like to welcome everybody on the call today. The news release announcing Capstone's 2020 second quarter financial results is available on our website and if you're logged into the webcast we will be advancing some slides. On the call are Darren Pylot, President and CEO; Raman Randhawa, our Chief Financial Officer; Brad Mercer, Senior Vice President Exploration and Operations; Jason Howe, Senior Vice President Corporate Development; and Mike Wickersham, General Manager of Pinto Valley Mine. Following our brief remarks, there will be an opportunity for questions. Comments made on the call today will contain forward-looking information. This information by its nature is subject to risks and uncertainties and actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please see Capstone's relevant filings on SEDAR. Finally, I'll just note that all amounts we discuss today will be in U.S. dollars unless specified. Now, I'll turn the call over to Darren Pylot.
Darren Pylot: Good morning everybody and thank you, Jerrold. We're very pleased to share with you our strong second quarter results in this current environment of rising copper and silver prices. It seems every day that there is an article in the future for Green Metals as the world moves towards a low carbon footprint economy. I'm excited that Capstone is positioned to be a responsible and growing producer of both copper and silver. Our growth progress has not been interrupted by COVID-19 restrictions. In fact, over the last six months, it has strengthened our company in a very positive way as everyone had to pull together to safeguard the health of our employees and our business. I'm proud of what we've accomplished and the fact that we've stayed on track to deliver 20% production growth with 10% lower costs starting next year, which is a commitment we made to the market at the beginning of this year. For those of you who are not logged into the webcast, we're now on Slide 4 of the presentation. Overall, for Q2, we produced 38.5 million pounds of copper at C1 cash cost of $1.87 per pound. We reinstated our original production and cost guidance for the year and as mentioned COVID-19 has not to date significantly adversely impacted or effected our production and cost at either of our operations. Our year-to-date production results sit right in the middle of our original guidance and therefore we continue to expect to finish the year between 140 and 155 million pounds of copper at C1 costs of between $1.85 and $2 per pound. Moving on now to Slide number 5. In early April, Cozamin ramped down production to comply with the Mexican government decree and has since safely ramped back up to full operations as of June 1. During the ramp down period with 30% of our workforce, Cozamin turned in a solid quarter allowing Capstone to hit its first half 2020 targets. Importantly, Cozamin also supported the local community of Zacatecas by donating medical supplies and hospital beds to the state and government in a time of need. We improved our liquidity position from $112 million at the end of March to just over $136 million by the end of June and Raman will provide the details on those actions we took during the quarter, which strengthened our balance sheet while he speaks. Next Slide number 6, Q2 was also a very good quarter for Pinto Valley. The operation continued to maximize mill throughput to around 54,000 tonnes per day. Additionally, we focused on flotation performance to identify bottlenecks when the operation is at high throughput rates. Recovery averaged around 85% during the quarter versus 82.5% in Q1. Property cost per tonne milled of $10.86 is trending lower with improved throughput and cost savings that we announced earlier in the year. Specifically, Q2 is about 3% lower than the previous year's quarter, 2019 and 6% lower than the similar quarter in 2018. So the trend is continuing lower there. The majority of Phase 1 work including three secondary screens each with 20% more capacity and new secondary crusher with 50% more power at a new ball mill shell with more capacity has all been completed. With this, we are now expecting reliable mill throughput of 57,000 tonnes per day. Phase 2 of the PV3 optimization project will identify additional opportunities to de-bottleneck throughput while optimizing flotation plant performance. The target here is to achieve up to 70,000 tonnes kilotons daily mill rate with 85% copper recovery or better. Recall, we did achieve these levels of performance in December of last year so we feel it can be optimized -- this rate can be optimized as a daily rate subsequent to those PV3 improvements. This study is scheduled for release sometime in the last quarter of this year. So with that, I'll hand it over to Mike to share with you a more detailed update on Pinto Valley.
Mike Wickersham: Thank you, Darren. It certainly has been a busy month for the processing plant in our Phase 1 work that has been underway. We'll continue into quarter four with six new tertiary crushers screens to be installed, another secondary crusher will be installed as well and on the second ball mill shell is due for replacement in the first quarter of next year. If you move to Slide 7, you'll see there is some photos of these Phase 1 installations which are being completed or have been completed in the second quarter and I'm really pleased to see this progress. It's continued despite the global pandemic in the volatile commodity prices because Pinto Valley is committed to making these targeted investments today to prepare Pinto Valley assets for improved reliability, higher capacity and lower unit costs so that we can always deliver solid cash flow up in the coming years. In addition to the work in our processing operations, we've been preparing for increased production in the mine as well by expanding haulage capacity adding four 240-ton class trucks, an additional dozer and an ultra-class loader to our fleets in the mine. Now moving to Slide 8. Earlier this week, we announced a plan to increase capital production at Pinto Valley following a successful commercial demonstration phase with jetty resources that allows us to recover more copper from our high grade wastes. The operation will be taking advantage of historic waste dumps and new material adding 300 million to 350 million pounds of low cost cathode over the next two decades. This represents an opportunity to further reduce unit costs at Pinto Valley. It creates and sustains new jobs in Gila County and delivers economic benefits in a socially and environmentally responsible manner that comes with this SXEW cathode copper production. As you can see in the estimated production profile graph, cathode could represent 10% to 12% on average of Pinto Valley's total copper production, which is a nice boost considering the copper is recovered from waste that is currently outside of our technical report. We believe that this enhanced leaching technology may create more upside with options to review cut-off grades that raise copper production for both the mill and capital operations as well. After mining of our PV3 pit shell reserves is complete, remember, there is still another 1 billion tons of resource at 0.3% copper and this new leaching technology may now form a component of our PV4 pit shell study that's due to be released next year. Moving to Slide 9. So Pinto Valley is a 120,000 tonne per day mining operation with a 60,000 tonne per day mill and has a 25 million pound per year SXEW plant associated with it. It will be well over $1 billion to replace an operation like this. We have a 20-year mine life ahead of us in the PV3 pit shell with 1 billion tonnes of resources at similar grade they remain behind that. Pinto Valley will be around for generations to come. And this slide shows how we intend to surface value for all stakeholders by delivering a sustainable and competitive copper business. So I'll now hand the call over to Brad, who will share some exciting progress about Cozamin.
Brad Mercer: Thank you, Mike. We're now on Slide 10. In June, we announced an updated mineral resource for Cozamin with total measured and indicated tonnage increasing by 66%. This is incredible resource growth achieved since 2018 with an exploration budget of only $10 million. We are now updating the mineral reserves and the technical report the results of which will be released within approximately one month. Moving on to Slide 11, you will see Cozamin's mill performance from mid-February to June and we are showing this slide because we want to highlight the excellent metallurgy we expect to get when Cozamin moves from a blended ore source to copper-silver ore feed only. This is what we will see starting in 2021 onward in the new reserve that you'll see in the technical report it comes out. Please note the orange box for two separate mill campaigns with copper-silver ore only at 3,800 and 4,100 tonnes per day, respectively. We realized 96% copper and 85% silver recoveries. These are stellar results for any mine and I don't know of any operation that I'm sure there may exist, but I don't know if any operation that can achieve some recoveries and flotation like that. Slide 12, twice in my tenure at Capstone, Cozamin looked like a sunset operation, but we ranked our targets and broke down the technical hurdles to test them and in 2016-17 the hurdle was limited underground workings to drill from and to a large extent are limited access from surface because of the infrastructure, our tailings pond. But we solved both issues through either drifting in the mine and permitting on the surface, respectively. So please note the jump in resources from 2017 to 2018 on the graph. Then in early 2019, we started to believe at the Mala Noche Footwall Zone had cut off of deep. By trusting in our understanding of this mineralized system and our exploration model we stepped out and drilled four holes 200 meters above what we thought was a barren zone and the zone returned to gain and blossomed out that far exceeded even our expectations. So basically that will be the basis of the new reserve going forward. Note that the next step up in resources from that work in 2019 to 2020 and that was achieved through, I think a breakthrough in understanding the geology in the exploration model. Now in 2020, with an even better understanding of our model, we still see targets, both up and down dip and we now believe more importantly along strike to the Southeast. I will come back to this in a moment. We also see some hanging wall veins we thought had limited potential that are now opening up and they will need to be tested in the future gain as well. All of this and we still haven't done much to test a multitude of other structures on the property that you can easily trace by connecting the dots for one historical working to another going back centuries. We'll move on to Slide 13. For those of you who have attended Verify, you will recognize this. It is a 2D representation of the main targets that I mentioned earlier. In the near term, we are back drilling to trim Up the edges of the current resource and filling in gaps we left when we paused for the COVID ramped down. So those are the arrows the thick arrows you see on the diagram. But the target that really excites me is the one along strike. Note the oval in the lower right-hand corner. Our model of the system as we understand it today is a series of vertically stacked high grade lenses within discrete blocks of geology. So when you step into a new geological domain, you have to establish if you need to look up or down for the copper zone. So southeast of the current resource we are currently testing a new domain where we know the system is present at high level in very limited drilling but it's zinc dominated. So we are looking deeper for the magic elevation where we expected to see the transition from relatively low grade zinc-silver ore to very high grade copper mineralization. The same mineralization we're currently mining. I will now turn the call back over to Raman to review the financial details.
Raman Randhawa: Thanks, Brad. I'm really excited about both Pinto Valley and Cozamin's future cash flow potential through organic growth initiatives especially in a rising copper price environment. As Darren mentioned moving on to Slide 14 of the presentation. Darren mentioned in Q2 we produced 38.5 million pounds of copper which is 3 million pounds higher than Q1 despite COVID-19 production restrictions at Cozamin. Our C1 cash cost of $1.87 per pound were 10% lower in Q1 as a result of the higher production. Moving on to net income. Net income of $4.3 million or $0.01 a share benefited from a non-cash provisional pricing adjustment of $13.6 million. Please keep in mind our reported adjusted EBITDA of approximately $13 million excludes a favorable provisional pricing adjustment of $13.6 mentioned to align with our bank covenant calculation. Operating cash flow of $45 million or $0.11 per share was positively impacted by higher production rates and the receipt of $27 million in customer advances on future off take to enhance our liquidity and to lower our net debt to EBITDA ratio. These offtake advances are not fixed with Q2 copper price rather they apply for the future delivery of concentrate volumes thus we have full exposure to the higher spot copper prices. We expect to deliver most of the concentrate associated with these up take advances in Q3 with the balance in Q4. As a result to positive $27 million working capital adjustment in Q2, we'll have a reversing impact on our operating cash flow of approximately $22 million in Q3 and $5 million in Q4. During Q2, we undertook a series of management actions to further strengthen our liquidity and manage compliance with banking covenants, including the previously noted off take advances. In addition, we have hedged opportunistic foreign exchange rates, interest rate swaps and a fixed fuel price contract. As of June 30, we have a liquidity position of $136 million with $86 million in cash that lowered our net debt from $188 million to $164 million and reduced our net debt to EBITDA ratio to 2.54. As a result, we have the balance sheet to fund our capital investments for the 2021 production growth profile. Now, I'll turn over to Jason to update on Santo Domingo.
Jason Howe: Thanks, Raman. As you can see on Slide 15, Santo Domingo is in the middle of a growing mining district in Region three Chile. The project benefits from being at low altitude near infrastructure and close to the coast. Santa Domingo is fully permitted and in Q2, we started a limited series of early works in order to preserve the validity of our environmental impact assessment. This work is included in our 2020 budget and is scheduled for completion in Q4. Activity and interest in the project via the strategic sales process increased in Q2. We have received substantial interest in sharing our mutually developing offset infrastructure valued at approximately $500 million. The Santa Domingo port would be one of the only ports in the area that will be able to handle Capesize vessels, which will provide optionality in the region. This arrangement would substantially reduce the upfront project capital costs and operational risks and increased project economics. Ongoing discussions and negotiations are progressing and we'll provide an update when we can. We also released a PEA with respect to cobalt production earlier this year with an opportunity to build a low cost of vertically integrated cobalt business in Chile. Please refer to our February 19 news release for full details. With that I'll pass it back to Darren to talk about our upcoming catalyst for the second half of the year.
Darren Pylot: Thanks, Jason. For everybody now we're on Slide number 16. Looking ahead, both Pinto Valley and Cozamin continue to be on track to the banner years in 2021. Our growth plans will collectively provide Capstone with a 20% production growth and 10% lower costs and they're coming to fruition during a time of rising copper prices. For the second half of this year, as I mentioned earlier we completed a series of upgrades and instalments for Phase 1 of our PV3 optimization. The balance of the Phase 1 will be completed as Mike talked about towards the end of the quarter and into Q1 of next year when that second ball mill shell will be delivered and installed. Phase 2 of that PV3 optimization study will continue throughout this quarter and we expect to release the results of the report by at least Q4 of this year. Recall Phase 2 is to maximize both copper recovery and identified downstream bottlenecks. Work on the PV4 expansion study also continues and that report is now expect due to COVID towards the end of this year or the first quarter of next year. At Cozamin we will be releasing the updated reserves as Brad mentioned and mine plan very shortly, this quarter, and we're very excited as you can hear Brad talk about. We're very excited about the step out drill targets and new exploration targets and look forward to completing the one way ramp on schedule in December. We continue to engage in discussion for Santa Domingo's strategic process and are very encouraged by the strong price environment for copper, gold and iron ore. As Jason mentioned, we'll update you guys on the market on the strategic process as soon as we have some significant news there. Next slide. So, 2021 is now less than six months away, and it's obviously going to be a transformational year for Capstone, given the big increase in cash flow and growth that we expect. So in closing, as I look further ahead into 2021 and beyond, between all of Capstone's quality assets, we provide significant exposure to green metals like copper, silver, and cobalt, all with incredible demand potential. With that, operator, we're now ready to take questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi, good morning. I'm actually still looking at Slide 8, and I had a question about the Pinto Valley production profile there because it caught my attention, not with respect to the cathode. But is this an update to the concentrate production schedule as well in terms of life of mine?
Darren Pylot: Maybe, Mike, you want to take that one?
Mike Wickersham: Yes, absolutely. What we really tried to highlight here the contribution that comes from our copper in cathode, and also, it's important to note that we are in this year at a pretty low ore grade, at about 0.306 I think is where we're budgeted for. But the next several years on the five-year plan, we're at 0.33 So, you're going to see more copper come out from concentrate. And this graph really illustrates just how solidly this new cathode opportunity contributes in comparison with that production from the mill.
Orest Wowkodaw: But is this basically a reset of the old sulfide mine plan, with respect to the grade profile? And what throughput does this assume? Is this at the 56 tons, 57 tons per day life of mine?
Mike Wickersham: It's currently at the 56,000 or 57,000 ton per day range. We have not yet finished our PV3 Phase 2 optimization study. That's the one that will lock down how on fast and how high we can get our mill rates up above that 60,000 ton per day rate.
Orest Wowkodaw: Okay. So the PV3 study, in theory, would actually increase this profile with higher --
Mike Wickersham: Yes, exactly. There's significant upside in that study still.
Orest Wowkodaw: Okay. So is this more of a transition type of life of mine production schedule then?
Mike Wickersham: Yes, it is, and I think this is the reason why you see we're going to update our 43101 tech report as soon as we completed this PV3 Phase 2 optimization study. Once that's done, we'll have a much clearer understanding of what the future looks like.
Orest Wowkodaw: Okay, great. Thanks very much.
Darren Pylot: Orest, Darren here. Just a follow-up. I know that the technical report the analysts have is quite out of date relative to where we are now with the improvements to the mine plan and the plant throughput optimization. So we're going to come out with a new technical support next year. And as Mike mentioned, this is really a transition view on production until we get there.
Orest Wowkodaw: Okay. Thanks, Darren.
Operator: And your next question comes from the line of Dalton Baretto with Canaccord. Please go ahead.
Dalton Baretto: Great. Thanks very much, guys. I just kind of want to follow up on what Orest was talking about there. So clearly, I mean there is upside in this mine slide you're showing on Figure 8, and there's just so much going on at Pinto Valley. You've got the lead product, you've got PV3 Phase 1, Phase 2, PV4. So, I just want to be very clear in terms of what's going to get included where and what the baseline is. So, the PV3 optimization study, that's going to include both Phase 1 and Phase 2, correct? And just give us a scope in terms of what's involved in Phase 2 in terms of the projects, the CapEx, the timing, that sort of thing.
Mike Wickersham: Darren, if you're okay, I'll take that one as well. So what we see is PV3 Phase 2, the study that's due out in fourth quarter, will help us understand the downstream bottlenecks that are required for us to get to about on daily basis 70,000 ton per day run rates that we enjoyed in December, and deliver an average performance across months or quarters that exceeds 60,000. So we're looking at debottlenecking in our tailings operations, making sure we have filter plant capacity, making sure we have the mine capacity, all those kinds of things. So, that is not yet ready. We have an idea of what we think the CapEx might be, but we're not ready to release that until the study is complete.
Dalton Baretto: Okay. But, but the PV3 study, once it is complete, will be along these lines with PV4 showing the upside? Or is it all going to be incremental to this?
Mike Wickersham: So PV3 Phase 2 is incremental. Go ahead.
Darren Pylot: No, that's fine. PV3 Phase 2 is incremental, and it's a series of, like we said, smaller CapEx, short-term payback relatively to -- the PV4 is kind of uncovering the total potential of the operation at significantly higher throughput rates than what we're talking about in PB3. So that's the difference between the -- the PV3 studies is more optimizing what we have with low CapEx projects and quick paybacks, and PV4 is what is the maximum potential of the operation.
Darren Pylot: Okay, great. And then maybe if I could just ask a couple more. On Cozamin, I know next year, the strategy is going to be just focusing on the copper silver zones. But just given what's happened with the silver price so far, and copper's bounced back too, is it your plan to start that sort of immediately and just started mining the copper silver zones this year? Is that a possibility?
Mike Wickersham: Darren, if you don't mind, I'll take that one. We're mining the copper silver zone now, but we also -- because we have the mill capacity, we also fill the mill up when we can with lower grade, lower margin zinc and lower grade silver ore. As soon as we -- it's not about the mining. It's about the hauling. So we need that ramp to open up, and that's on schedule to open in December. As soon as that ramp opens up, we can boost production by about 30% ton each, and we're away to the races there. So yes, we are not going to wait for 2021. If we can open the ramp early, we will start immediately boosting production, and I think you might see a ramp up over a few weeks, but not much more than that. We have a significant inventory of developed access into the ore body, more than we've ever had, about a year. So we've already got that lined up and, we're taking steps to add more equipment into drill and blast. We don't see the bottleneck being the mine at all. And I think we are fully on schedule.
Dalton Baretto: Okay, great. And maybe just one last one for Darren. Hopefully, we skated through the worst of the COVID impacts on the copper price, and silver's skyrocketing now. Your share price has done really well. How are you thinking now strategically about the business?
Darren Pylot: Well, in terms of silver and gold for that matter, we've got, as you mentioned, to the resource that we've put out at Cozamin, Dalton, significant more silver than we've had in the past. And we're coming out with that new reserve and mine plan, as Brad mentioned, within the next month. So that's going to give us a good view and the market good view of the new mine plan at Cozamin. We do have, as Brad mentioned in his presentation, and if anybody is a tenant verify, there are some very substantial new targets that we need to test immediately to understand the potential upside of copper and silver in targets we haven't tested. So we have drills on some of those targets now, and we will report those as we get. But we want to get a good view of the deposit before we understand what we want to do with our silver. But we do recognize the prices. We talk about it a lot, and we will be making some decisions around that. And as well, the gold at Santo Domingo. We've got a substantial amount of gold. It doesn't provide a lot of -- when you look at it against the copper and the iron, it's not a lot of revenue. So we could use that as a financing mechanism. There's 300,000 ounces of gold there to be potentially streamed as well.
Dalton Baretto: That's great. Thank you, guys.
Operator: And your next question comes from the line of Stefan Ioannou from Cormark Securities. Please go ahead.
Stefan Ioannou: I think it's me, Stefan Ioannou. Okay, great. Thanks. Not to beat a dead horse here, but just on the study timing for Pinto Valley. So, just so I'm super clear, later this year, we'll see the PV3 optimization study, and then sometime early next year, we'll actually see a 43101 updated mine plan, which will be the PV3 optimization and the cathode production stuff. And then at some other point beyond that, we'll then see an additional PV4 expansion evaluation of some sort?
Darren Pylot: Yes. You might have that mixed up. You might get the technical report -- you might get PV4 before the technical report. But yes, that's essentially what's going to happen.
Stefan Ioannou: Okay. Okay, great. And just thinking ahead to PV4, is there any work going on in the background, just thinking about sort of some of the bigger infrastructure issues like tailings and or water and stuff like that? Is that work going on now? Or can you give us any clarity on sort of where your thoughts are on that?
Darren Pylot: Yes, Stephan, and that's essentially the difference between the two. The PV3 is using existing infrastructure, existing tailings, and maximizing optimizing that with lower CapEx projects to debottleneck downstream, as Mike mentioned. So we've got the crushing grinding now figured out. It's okay, well, how does that affect flotation, and tailings, and what have you. Existing tailings. And unconstraining everything by new tailings, a much larger mill, the whole thing unconstrained, and using all that billion tons of resources that's not currently in the mine plan and giving us and the market a view of what that would look like as a PV4 study.
Stefan Ioannou: I guess maybe just asked a different way then, so obviously using the resource to drive the PV4 plan, but then when we think about that, should we think about sort of the tailings location? It's sort of like one of the critical paths to make that happen?
Darren Pylot: Absolutely. We have a new location, potentially on or on our property, and how that would impact it going forward in terms of permitting. And all that stuff is being looked at. And yes, you should look at it that way.
Stefan Ioannou: Okay. Okay, great. Thanks very much, guys.
Operator: And your next question comes from the line of Oscar Cabrera. Please go ahead.
Oscar Cabrera: Thank you, operator, and good morning, everyone. Just a clarification on your all-in sustaining costs. If I look at the presentation from the SX/EW increase, you quote $1.40 to $1.50. And then in today's presentation, you have $2.00 a pound. So is the difference between the two, the royalty that you have to pay on your partner? Or is there something else in there?
Raman Randhawa: Oscar, it includes some capital, as well required to build the infrastructure or upgrade the infrastructure. So, it's got sustaining capital.
Darren Pylot: And it does include the partner payment that were not under CA, we're not allowed to disclose the numbers now. It works. But it does include that as well, Oscar.
Oscar Cabrera: Okay. Thank you. And then [indiscernible] what is the increasing capacity utilization you can have with this new technology? Would you be able to use the full 25 million pounds? Are you still testing it? Is it scalable?
Darren Pylot: I think Jerrold's probably the best one to answer that one. It's his pet project.
Jerrold Annett: I didn't quite hear the question. Could you repeat that?
Oscar Cabrera: Yes, sure. So what capacity utilization are you planning to have with the chart that you showed here, in increase in the SX/EW production? Are you still in testing mode or is it scalable?
Jerrold Annett: Well, the electrowinning plant can do 25 million pounds, and we're currently only using 20% of it. So, this is very scalable. If we can get the leaching rates up to the point where we can push the electrowinning plant, then I think it's going to take seven or eight years before we have to worry about the capacity of 25 million pounds at this point. So, we're scaling up from five million pounds to 25 million pounds over the next seven or eight years.
Oscar Cabrera: Okay. That helps. And then exciting opportunities in both Pinto Valley and Cozamin. There is, during your opening remarks and during the presentation, you talked about the potential for partnerships in Santo Domingo. You had sort of touched on those in previous calls. Just wondering if you have any updates with regards to that and how that can accrue value to your shareholders?
Operator: Okay, and your next question comes from the line Craig Hutchison with TD Bank. Please go ahead.
Craig Hutchison: Okay. So just a question on the recoveries at Cozamin. They're really... [Technical Difficulty]
Operator: Yes, he dropped off. So, we do not have any further questions at this time. I will turn the call back over to the presenters for closing remarks.
Jerrold Annett: I think there is a technical issue that just all of the sudden popped up, but I'll just take the opportunity to thank everybody on this call for their time, and we're very excited about what lies ahead here for Capstone Mining. And if you have any questions, feel free to reach out to any one of us. And we hope everybody stays healthy here and enjoy the summer.
Operator: This concludes this conference call. You may now disconnect.